Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2012 TransDigm Group Incorporated Earnings Conference Call. My name is Colby, and I will be your operator for today. [Operator Instructions] And as a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Ms. Liza Sabol, Investor Relations. Please proceed, ma'am.
Liza Sabol: Thank you. I would like to thank all of you that have called in today, and welcome you to TransDigm's Fiscal 2012 Second Quarter Earnings Conference Call. With me on the call this morning are TransDigm's Chairman and Chief Executive Officer, Nick Howley; President and Chief Operating Officer, Ray Laubenthal; and our Executive Vice President and Chief Financial Officer, Greg Rufus. A replay of today's broadcast will be available for the next 2 weeks. Replay information is contained in this morning's press release and on our website at transdigm.com. Before we begin, the company would like to remind you that statements made during this call, which are not historical in fact, are forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the company's latest filings with the Securities and Exchange Commission. These filings are available through the Investors section of our website or through the Securities and Exchange Commission's website at sec.gov. The company would also like to advise you that during the course of the call, we will be referring to EBITDA, specifically EBITDA As Defined, adjusted net income and adjusted earnings per share, all of which are non-GAAP financial measures. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and a reconciliation of EBITDA and EBITDA As Defined, adjusted net income and adjusted earnings per share to those measures. With that, let me turn the call over to Nick.
W. Nicholas Howley: Good morning, and thanks for calling in to hear about our company again. I'd like to start with some comments about our consistent strategy, the acquisition of AmSafe, our current sense of the status of the aerospace market as it applies to our business and a few miscellaneous items. To reiterate, we believe our business model is unique in the industry, both in its consistency and its ability to sustain and create intrinsic shareholder value through all phases of the aerospace cycle. To summarize some of the reasons why we believe this, and you can look at Page 4 of the slides, about 90% of our net sales are generated by proprietary products, and around 3/4 of our net sales come from products for which we are the sole source provider. About 60% of our revenue and a much higher percent of our EBITDA comes from aftermarket sales. Aftermarket revenues have historically produced a higher gross margin and have provided relative stability in the downturns. Because of our uniquely high EBITDA margins, typically about 50% of revenues and relatively low capital expenditure requirements, typically less than 2% of revenue, TransDigm's year in, year out generated very strong free cash flow. We pay close attention to our capital structure and view it as another means to create shareholder value. As you know, we have in the past and continue to be willing to lever up when we either see good opportunities or view our leverage as sub-optimum for value creation. We typically begin to delever pretty quickly. We have a well-proven, value-based operating strategy focused around what we refer to as our 3 value drivers: new business development, continual cost improvement and value-based pricing. We stick to these concepts as the core of our operating management methods. This consistent approach has worked for us through up and down markets and has allowed us to continually improve and increase the intrinsic value of our business while steadily investing in new business and platform positions. We have also been successful in regularly acquiring and integrating businesses. We acquire proprietary aerospace businesses with significant aftermarket content. We've been able to acquire and improve proprietary aerospace businesses through all phases in the cycle. Through our consistent focus on our operating value drivers, a very clear acquisition strategy and close attention to our capital structure, we have been able to create intrinsic value for our shareholders for many years through up and down markets. The just-completed quarter was active. We closed on the AmSafe acquisition for $750 million. To remind you, the AmSafe price includes tax benefits over the next 10 years to TransDigm in the range of $70 million on a net present value basis. The tax benefits are front-end weighted with about $20 million of them accruing to us in the first fiscal year of ownership. AmSafe is a good, solid proprietary aerospace business. It did about $260 million a year in calendar year 2011 with an EBITDA margin of about 25%. In the 7.5 months of our fiscal year 2012 ownership, we expect AmSafe to do about $175 million of revenue and about $50 million of EBITDA As Defined. The commercial aerospace margins are higher than the average, and the ground vehicle margins are substantially lower. About 90% of its EBITDA comes from commercial aerospace and military markets, of which the vast majority is commercial aerospace. We find the low military content, about 10% of the revenue, and very high commercial aerospace aftermarket content particularly attractive. Excluding the commercial ground vehicle business, about 85% of the revenues are aftermarket, primarily commercial transport aftermarket. The major AmSafe product lines are seatbelts and airbags for commercial aircraft, primarily commercial transport. They are qualified, usually exclusively, on all major commercial transport and regional aircraft. After 2.5 months of ownership, we are very comfortable with our ability to increase the value through a mix of all 3 of our value drivers. Though I don't know that this business can achieve EBITDA percent as highest as TransDigm average, we see significant upside at least as good as our acquisition case assumptions. We financed the acquisition with $500 million of incremental bank debt and from our cash on hand. The interest rate is LIBOR plus 3% with a 1% LIBOR floor, or 4% as of today. We also increased our revolver availability to $310 million as part of the process. We have now included AmSafe in our updated full year guidance. At 3/31/12, we had about $200 million in cash and over $300 million in undrawn revolver. We also, on average, expect to generate between $90 million and $100 million a quarter in additional cash for the last 2 quarters of fiscal year 2012. We have additional borrowing capacity under our credit agreement. We estimate our gross debt-to-EBITDA ratio on a pro forma basis at 3/31 reflecting the AmSafe acquisition as about 4.7x EBITDA. Our net debt to EBITDA is about 4.4. As in the past, absent acquisitions or other capital market activities, we will soon delever. Changing subjects a little, you may have seen we recently prevailed in the litigation against Eaton Corporation regarding improper retention and possible use of our intellectual property and nonpayment of certain aftermarket-related obligations. Just to make clear, we have here and will continue to vigorously protect our intellectual property. We have not included the litigation award in any of our guidance as we are unsure if or how much of it may be appealed, how we will fare on fee recovery issues and a number of miscellaneous peripherals. We also settled 2 retroactive contract adjustments with key customers for a total of about $11 million. These have been booked about evenly in Q1 and Q2 as revenue and income. Now with respect to our underlying markets and on a pro forma basis, that is assuming we own the same mix of businesses in both periods, the markets are a little bumpy, but generally on track. We see continuing signs of strong commercial aftermarket. The defense aftermarket, though less clear, is so far holding up better that we outlined in our prior guidance. Focusing a little bit on the different market segments. In the Commercial OEM, industry forecasters and airframe manufacturers continue to be optimistic regarding the commercial transport OEM production cycles. Rate increases are proceeding at both Airbus and Boeing. The 787 schedule is still unclear, but that won't materially impact fiscal year 2012. On a positive note, at least now there are some 787 airframe shipments. In total, our full year commercial transport OEM revenues on a pro forma basis are now expected to be up in the high teen percents versus the prior year. In business jets, though the outlook is mixed by airframe manufacturer, we expect mid to high-teen percent growth year-over-year. In the commercial aftermarket, we continue to see growth in worldwide passenger traffic, though not as high as last year's growth. To remind you, last year, our commercial aftermarket was up almost 25% on a year-over-year basis. This was likely not a sustainable level. This quarter, we saw modest increases over our prior Q2 in our commercial aftermarket revenue. Sequentially, commercial aftermarket revenues were about flat versus Q1 this year. On a positive note, incoming orders or bookings picked up nicely and are now running above our shipment levels on both a year-to-date basis and a prior Q2 basis, as well as sequentially. As I've said before, bookings can be lumpy. We are still guiding pro forma commercial aftermarket revenues to be up about 10% versus last year. We are watching this carefully. The revenue comps, I'll remind everybody, get tougher in the second half of the year. In the defense business, though there are still major uncertainties around defense spending, we now anticipate defense revenues to be flat to modestly up in fiscal year 2012. Though Q1 and Q2 were better than anticipated, we remain cautious. As I mentioned before regarding the commercial aftermarket, the defense comps also get tougher in the second half of the year. Military revenues are tough to predict, especially given the current U.S. political wins and the worldwide geopolitical situation. Now let me turn to the latest financial performance. I'll remind you this is the second quarter of fiscal year 2012. Our fiscal year started October 1, 2011. As I have said in the past, quarterly comparisons can be significantly impacted by differences in OEM aftermarket mix, large orders and transient inventory fluctuations in the system, modest seasonality and other factors. But the second quarter of fiscal year '12 was a good quarter. GAAP revenues were up about 39% versus the prior Q2. Organic revenues were up about 15% on a quarter versus prior quarter basis. Reviewing the revenues by market category, again on a pro forma basis versus the prior year, and you can see this on Slide 5, this is assuming we own the same mix of businesses in both quarters. I will note that these pro forma comps do not include the 2 most recent acquisitions, that's Harco and AmSafe, as we're still syncing their market reporting up with TransDigm's. In the commercial market, which makes up about 75% of our revenue, Commercial OEM revenues, as I said, were up 36% versus the prior Q2 and 28% on a year-to-date basis. Commercial transport OEM and biz jet OEM revenue growth were about in the same range. Excluding the impact of the retroactive contract settlements, the increase in revenues was a little over 20% on a year-to-date basis in the Commercial OEM sector. In the commercial aftermarket, revenue was up about 7% on a Q2 versus Q2 basis and about 13% on a year-to-date basis. Though the specifics are unclear, anecdotally, there seems to be indication of some inventory trimming at certain airlines and a generalized economic concern by European airlines. I can't at this time quantify this much further. As I mentioned, bookings are now running ahead of shipments on a year-to-date basis. We are watching trends here very closely, and we'll update you as we proceed through the year. But so far, the commercial aftermarket is about what we expected. In the defense markets, which make up about 25% of our revenue, the defense picture was again better than we expected. As an aside, I should probably stop forecasting this before I embarrass myself further but on the other hand, I have to say something. The revenues were up 10% on a Q2 versus prior Q2 basis. On a year-to-date basis, we're up about 3.5% versus the prior year, the full year average run rate. Incoming orders ran ahead of shipping again in Q2. We'll see how this plays out. As I've said, the military picture is not clear. For obvious reasons, we remain cautious. In total for the quarter, our revenues were a bit better than we expected. Moving to profitability and on a reported basis, I'm going to talk primarily about our operating performance or EBITDA As Defined. The major As Defined adjustments are made up of acquisition and stock option expenses, Greg will review various other items on the income statement also. For Q2, our EBITDA As Defined of $203 million was up 39% versus the prior year Q2 As Defined or EBITDA As Defined. The EBITDA As Defined margin is 48% for the quarter, the same as the prior year Q2. The year-to-date EBITDA As Defined margin is roughly 49% of revenue. Now there are a number of moving parts that complicate the EBITDA margin event, and let me try and clarify that a little bit, at least on a year-to-date basis. If you break out the EBITDA margins a little more finely, if you take the base business including McKechnie, our EBITDA revenues, again EBITDA As Defined, was about 50% of revenue. This is in spite of an OEM aftermarket mix down. The Schneller, Harco and AmSafe acquisitions combined diluted the EBITDA margin about 2% or 2% down, and the impact of the 2 retroactive contract settlements moved the EBITDA margin up about 1%. And I think that comes to the 49%. With respect to M&A activity, as I said we closed one acquisition in Q2 2012, that is AmSafe, for about $750 million. We continue looking at opportunities. Al's been pretty busy working the AmSafe deal and various follow-on items, and the pipeline's a little light at the moment. Closings, on the other hand, are always very difficult to predict. We remain disciplined and focused on our clear value-creation opportunity and strategy here. Now regarding the fiscal year '12 guidance, and this is on Slide 6. There are also a number of moving pieces increase affecting our guidance. The operations performed well in Q2 in the first half. The OEM aftermarket mix is continuing to run against this a little. The AmSafe acquisition is closed, and we have now resolved these $11 million in contract settlements. I'll refer to the midpoints and all the following numbers. Again, the numbers now include AmSafe, but there's no additional acquisitions or settlements included in these. Based on all of the above, we have increased the midpoint of our EPS as-adjusted guidance by $0.57 a share from $5.83 to $6.40. Almost 2/3 of the increase is attributable to the AmSafe acquisition net of the incremental interest. We now expect TD's revenues to be about $1.68 billion or up $194 million from our prior guidance. The vast majority is due to the AmSafe acquisition with the balance split between contract settlement, improved Commercial OEM revenues and some slight improvement in defense. The 2012 EBITDA As Defined is now anticipated to be about $800 million, up $67 million from our previous guidance. Almost 3/4 of this increase comes from the AmSafe acquisition. On a full year basis, the EBITDA As Defined margin of 48% is roughly made up as follows. The base business, again including McKechnie, should run about 51% of revenues for the full year, and it continues to move up. Again, this is in spite of the mix down drag. Schneller, Harco and AmSafe full year dilution is about 3.5% down on the margin, and the impact of the 2 Boeing contract settlements is about 0.5%, up on a full year basis, and that should settle you to the 48%. Compared to 2012 and on a pro forma basis, we are now planning on full year commercial aerospace OEM revenues to be up in the high-teen percents. For commercial aerospace aftermarket on a pro forma basis, we are still planning on full year revenue growth at about 10% based on a worldwide traffic up 4% to 5% year-over-year. We'll keep watching this closely and adjust as required as the year proceeds. For defense revenues, on the same basis, we are now planning year-over-year revenues to be flat to modestly up. Again, I think I should probably give up handicapping this, but there I go. In summary, the first quarter was a good start to the year, and Q2 continued that. The market seemed to be roughly on track but in any event, I'm confident that by focusing on our consistent strategy, we could continue to create intrinsic value in good and bad times. Now let me hand it over to Ray Laubenthal, our COO, who will discuss a few operating items from the quarter.
Raymond F. Laubenthal: Thanks, Nick. We had a busy second quarter and a good first half. We continued our consistent disciplined approach to value creation with our recent acquisition in our existing businesses. We started the quarter with a sprint by AmSafe. This was a good example of how we can move quickly. In December, we became aware of the potential sale of AmSafe. We immediately attended the management meeting and assembled a due diligence team. And in a short period, we visited their major operating sites in Phoenix, Elkhart, Anaheim, Erie, Bridport in the U.K., Kunshan in China and Sri Lanka. We conducted due diligence on their major customers and determined the strength of their proprietary products. The resulting data from our due diligence confirmed our originally assessment that AmSafe was a good fit with TransDigm and on February 15, we closed the deal. Again, this was a good example of our consistent acquisition strategy and of how we can move quickly and efficiently when a potential acquisition meets our stringent criteria. Once we took ownership of AmSafe, we immediately launched our disciplined value-equation process. To date, in less than 90 days, we've restructured the AmSafe spares pricing, initiated several plant consolidation and tightened up the cost structure with significant headcount reduction. We're now working to organize this business into our proven product line operational structure. Overall, the transition activities are progressing well. On our other recent acquisitions, Schneller and Harco, they're also progressing well. Schneller's Kent, Ohio building expansion is well underway, and we're on track to close their Florida facility and consolidate it with the Kent operations next quarter. We have installed a new President at Schneller, and we have moved our experienced Sales and Marketing Director from our Avtech Tyee Group to be the Director of Sales and Marketing at Schneller. At both Schneller and Harco, the pricing has been restructured and cost reductions have been implemented. In addition to these actions, we've reorganized these 2 businesses into our product line structure. Each product line has a Product Line Manager responsible for the product line P&L along with the underlying pricing, new business generation and productivity improvement. Now I'd like to switch gears and talk about our senior management team. These acquisitions resulted in a significant number of management promotions. Our continual emphasis on succession planning and talent development paid off well for us. We were able to populate most of the key management positions with internal candidates. These proven candidates are steeped in our value-focused culture and value-creation processes. In Q1, we promoted Jim Skulina to Executive VP. Jim has been with us since 1994, performing well in a broad range of assignments ranging from Division Controller, Director of Manufacturing, Corporate Controller and President of Aero Fluid Products. Jim has led numerous acquisition consolidation and has fostered significant value creation during all of his assignments with TransDigm. In his current EVP role, Jim will have oversight of a number of our existing businesses. In the second quarter after our acquisition of AmSafe, we promoted Pete Palmer to Executive Vice President. Pete started with TransDigm in 1999 as a Product Line Manager at our AdelWiggins unit. He then became the Director of Sales and Marketing there. He later moved to our corporate offices as Director of Mergers and Acquisitions. After we purchased CDA, Pete became the Operating Unit President there. He then moved on to become president of our CEF unit. And he has spent the last few years as President of our AdelWiggins unit. In his current Executive Vice President role, Pete will have a number of operating units reporting to him. To replace Jim and Pete, we promoted 2 internal candidates to fill in as President at Aero Fluid Products and then at AdelWiggins. Both of these new Presidents held a variety of managerial positions creating value at TransDigm, and their replacements were also promoted from internal positions are Product Line Manager and Manufacturing Manager. We believe the availability of promotable internal talent and our consistent succession development process effectively complements our disciplined value-creation methods and is a key to our ability to regularly acquire and integrate new businesses. Now let me hand it over to Greg Rufus, our CFO, who will review our second quarter financial results in more detail.
Gregory Rufus: Thanks, Ray, and good morning to everyone. I hope everyone had an opportunity to read our press release, which was issued this morning. In typical TransDigm fashion, the current quarter in comparison to the prior year are significantly impacted by recent acquisitions and financing activities. Let me remind you that we acquired Schneller in the fourth quarter in September or August of 2011, Harco in December in the first quarter of fiscal year '12 and AmSafe in February in our second quarter just closed. In addition, we financed the AmSafe acquisition with a new $500 million term loan, and we used $250 million of cash during the quarter to complete it. Before I begin, please reference Slide 7 for our quarterly financial results. Our second quarter net sales were $423.5 million, up $119.2 million or 39.2% from the prior year. There are 2 significant explanations for this large increase. The first is the collective impact of the acquisitions of Schneller, Harco and AmSafe. These acquisitions contributed $73.8 million of additional sales versus the prior period or almost 2/3 of the increase in sales. Not to be overshadowed by the impact of our recent acquisitions, our organic growth was 14.9% greater than the prior year. All market channels contributed to this growth as follows: $30.5 million from Commercial OEM, and this included the retroactive contract adjustment of approximately $6 million; $6.4 million from the commercial aftermarket sales; and $8.5 million from defense sales, driven primarily by OEM shipments. Reported gross profit was $236 million or 55.7% of sales. The reported gross profit margin increased by approximately 4 percentage points versus the prior year. Collectively, our gross profit percentage on our core business increased by approximately 2 margin points due to the following: the strength of our proprietary products and continued productivity improvements, along with positive leverage in our fixed overhead costs spread over a higher production volume; the favorable retroactive contract adjustment mentioned earlier contributed just over 0.5 margin point at the gross profit line; and partially offsetting these favorable items was unfavorable OEMs aftermarket product mix. In addition, the decrease of purchase accounting items and acquisition integration costs as a percent of sales increased the gross profit percentage by 3 margin points. This is primarily due to decreased inventory step-ups and related start-up costs associated with the McKechnie acquisition in the prior year. These net increases were partially offset by the dilutive impact of Schneller, Harco and AmSafe by approximately 1 margin point at the gross profit line. Our selling and administrative expenses were 11.7% of sales for the current quarter compared to 10.9% for the prior year. The increase is primarily due to a higher run rate of selling and administrative expenses as a percent of sales from recent acquisitions. This run rate will continue to increase in the second half, but typically improves over time under TransDigm ownership. Amortization of intangibles was $2.1 million lower versus the prior year due to backlog related to McKechnie and Talley becoming fully amortized in quarter one of 2012. This drop off more than offset additional amortization from the recent acquisitions of Schneller, Harco and AmSafe. Net interest expense was $52.3 million, a decrease of $1.8 million versus the prior year quarter. This decrease was primarily caused by a decrease in the total weighted average interest rate on total borrowings at the end of the quarter to 6.2% compared to 6.9% for the second quarter last year. The impact of the lower interest rate was partially offset by an increase in weighted average total debt to $3.39 billion in the current quarter versus $3.15 billion in the prior year. The increase in weighted average debt was due to the additional term loan related to the AmSafe acquisition in February of this year. Our effective tax rate was approximately 35% for the current quarter, and we still expect our effective tax rate to be between 34% and 35% for the full year. We expect our cash taxes to be about $100 million for the full year. Net income from continuing operations for the quarter increased $44.9 million or 122.2% to $81.6 million, which is 19.3% of sales. This compares to net income from continuing operations of $36.7 million in the prior year. Income from continuing operations increased by a significantly higher percentage versus the prior year than our overall increase in sales of 39.2% due to the lower acquisition-related costs and lower amortized -- amortization of intangible assets versus the prior quarter; leverage on our lower interest expense, which declined by 3.4% versus the prior quarter; and the lower effective income tax rate versus the prior year. Net income from discontinued operations in the comparable quarter a year ago was $19.1 million or $0.35 per share. This was related to the McKechnie fastener and distribution businesses that were sold in 2011. GAAP earnings per share from continuing operations was $1.51 per share in the current quarter compared to $0.69 per share a year ago due to the increase in the net income from continuing operations that I just discussed. The adjusted earnings per share was $1.65 per share, an increase of 72% compared to $0.96 per share. This percentage increase is higher than our sales increase of 39% due primarily from leverage on the lower interest expense this quarter versus the prior year. The quarter adjustments to GAAP earnings per share were $0.14 per share. The adjustments net of tax are: acquisition-related expenses of $0.08 per share and noncash compensation cost of $0.06 per share. Cash flow from operations was strong at $165 million in the first half of 2012. Despite using $333 million of cash on the balance sheet to help partially fund the acquisitions of Harco and AmSafe, we ended the quarter with almost $200 million of cash on the balance sheet. Our net debt leverage ratio was 4.4x our pro forma EBITDA As Defined. We expect to continue to delever throughout the year, and we project that our net leverage ratio will be approximately 4x EBITDA As Defined on September 30. Moving to guidance. We estimate the midpoint of our GAAP earnings per share to be $5.64 and as Nick previously mentioned, we estimate the midpoint of our adjusted earnings per share to be $6.40. The $0.76 of adjustments to bridge GAAP EPS to adjusted EPS includes the following assumptions: $0.06 from dividend equivalent payments paid in the first quarter, $0.23 from noncash stock option expense and $0.47 of acquisition-related expenses. Now let me hand it over to Liza to kick off the Q&A.
Liza Sabol: Thank you, Greg. [Operator Instructions] Operator, we are now ready to open the line.
Operator: [Operator Instructions] Your first question comes from the line of Robert Spingarn with Credit Suisse.
Julie Yates - Crédit Suisse AG, Research Division: This is Julie. So with 15% organic growth in the first half of the year, what's the total organic growth you're assuming in the full year revenue guidance? And has that changed from what you were assuming in the prior guidance?
Gregory Rufus: Just with the sense, it's up a little bit. It hasn't changed dramatically.
W. Nicholas Howley: Yes, and it's probably up a little. I just -- I don't have the number in my head, Julie. This is Nick Howley. But the Commercial OEM's up a little bit. Defense is up a little bit, and commercial aftermarket is about the same. So a little bit.
Julie Yates - Crédit Suisse AG, Research Division: Okay, but it looks like it might decelerate a little bit in the back half of the year, maybe be high single digits, low double digits. Does that sound about right?
W. Nicholas Howley: No. I just don't have the number in my head. Greg, do you?
Gregory Rufus: Yes, we have the second half when you look at it on this basis excluding some of the acquisitions of being more in the high teens...
W. Nicholas Howley: Yes, yes, yes. You're right. You're right, Julie.
Julie Yates - Crédit Suisse AG, Research Division: Okay, okay, and then just a housekeeping for Greg. What was the interest expense you're embedding in your full year guidance number?
Gregory Rufus: Well, the interest in depreciation and amortization combined, Julie, was $0.26 per share. I don't have the absolute number in front of me right now.
Operator: Your next question comes from the line of Mr. Carter Copeland with Barclays.
Carter Copeland - Barclays Capital, Research Division: Just a couple of quick ones. Nick, I wondered if you might talk to what's driving the military strength if you can see anything in the kind of granular data of whether or not it's helicopters or what's going on that it keeps surprising us?
W. Nicholas Howley: Yes, yes, first, Carter, I don't think we're the only one it's surprising. If you look across the product lines, it's fairly broadly doing better. I would say in specifics, a couple of things that do jump out is the helicopters are continuing to do better. That's helicopter maintenance, spare parts, all that -- upgrades, all that sort of thing. And we saw a couple of decent F-35 shipments here too in this quarter. Those are probably the 2 things that might stick out other than just generally it's not dropping as much as we thought.
Carter Copeland - Barclays Capital, Research Division: Okay. Great, and the second relates to just M&A. I know you said the pipeline was a little light, but I wondered if you might comment on the types of deals you're seeing out there. If you're seeing any impact from sort of looming tax changes, and whether or not that's got sellers interested or not or what kind of deals are out there? Are there anything new or are you working the same list? Any detail would be helpful.
W. Nicholas Howley: Yes, I can't talk anything specific, of course. Let me take your questions in the order you asked them, Carter. I -- we do the tax change pitch all the time for people. We'll see to try to get them to sell. I honestly can say we haven't got a lot of biting on that. People listen, but they don't seem to move much on it. We had the same thing in 2010, so I can't take much comfort in that. I would say on the deals we are seeing, I would say the type of things we're seeing right now are typically the smaller type of things that we traditionally saw. That being said, as you know, particularly bigger things can just pop up on you quickly. I mean we're tracking them, but we don't know of anything right now that's popping up.
Operator: Your next question comes from the line of David Strauss with UBS.
David E. Strauss - UBS Investment Bank, Research Division: Thanks for the additional color around adjusted EBITDA margins by business or by the base business. That's where my question is. You talked about 50% adjusted EBITDA margins for the base business with McKechnie and 51% for the full year. Can you give us an idea, Nick, of maybe the spread between the base in McKechnie, how McKechnie is tracking relative to that 50%, 51% number.
W. Nicholas Howley: No, we really don't disclose that. But what I wanted to do is that I wanted to give you that number so you can get a pretty good sense. McKechnie is a decent-sized business, and the base businesses were somewhere around 50% before we bought it. So you can do the math and see it's got to be doing pretty well, right? Or you couldn't -- McKechnie is in the 50%, 51%.
David E. Strauss - UBS Investment Bank, Research Division: Yes, sure. I assume...
W. Nicholas Howley: We don't -- specifically, we don't disclose them.
Gregory Rufus: Well frankly, we don't even add up. There's no such thing as a McKechnie. We don't even add that total up, David. I mean, we've incorporated corporate into our corporate headquarters. We have 3 units, and we don't get any management benefits for it, but we know -- it's moving up, and that was Nick's point that it was doing good.
W. Nicholas Howley: Yes, maybe that's the best way to say. It's not an identifiable entity anymore.
David E. Strauss - UBS Investment Bank, Research Division: Okay, and then on the AmSafe, you bought the business, it was 25% EBITDA margins. Now it sounds like it's 30%, so moving up there. Can you talk about where that 5% is coming from? And then also where does it stand on an EBIT basis? I think you had talked about the ability to kind of stretch out the amortization period. Where does it stand on an EBIT basis?
W. Nicholas Howley: Well, let me deal with -- on the EBIT, Greg, you can address. I think we -- on the tax, we gave you an indication of how much tax benefit we get in this 7.5-month period. On the move in the margin, it's the normal stuff. We own the business, and we start to give in, and we start to -- we brought the cost down, we've adjusted the cost structure already, we're starting some consolidations of some plants, we're adjusting the pricing. It's the whole range of things that we do when we buy a business. And it's starting to kick in.
Gregory Rufus: David, in our guidance, and I don't know if this will help your confuse you, but total depreciation and amortization for AmSafe on an annualized basis will be just a little over $15 million now that we've settled through everything. I don't know if this -- that helps you or not.
David E. Strauss - UBS Investment Bank, Research Division: Yes, that's this year, or that's a full year run rate?
Gregory Rufus: That's a full year run rate.
David E. Strauss - UBS Investment Bank, Research Division: Okay, okay, now that helps. And then last one for me. What's the latest thinking on what to do with the ground vehicle business?
W. Nicholas Howley: Yes, if we -- as I've said before, that doesn't fit with us particularly. It's just a question of whether we think we can get a price that makes sense to us. And we're sort of going through the process now of trying to sort that out.
Operator: Your next question comes from the line of Noah Poponak with Goldman Sachs.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Just on the commercial aftermarket, I recognize you didn't change the full year target. But it sounded like you made a few incrementally cautious comments there, what you said on inventory de-stocking in Europe. Maybe there's a few other incremental positives that you just didn't mention. Traffic's been pretty strong. Year-to-date load factor is still high. So just very simply, would you say on the margin you feel better, worse or the same about commercial aftermarket today versus the last time you spoke to us, and why?
W. Nicholas Howley: Yes, I think I'd have to say we feel about the same. We reconfirmed the same numbers on our guidance. On the downside, we get some anecdotal evidence, as I said, of some inventory adjustments and frankly, some more kind of hammering in from the European airlines. That's on the downside. On the upside, as I said, the bookings for the quarter were pretty good. So we sort of look at the 2 of them and parse them out, and we don't have a crystal ball and say that feels about the same to us.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Okay, that's helpful. Can you tell us -- and I know you don't like to get very granular on pricing, but can you say what the core aftermarket volume growth, so total aftermarket exclusive of price in the quarter, was that positive or negative?
W. Nicholas Howley: You mean do we get positive price?
Noah Poponak - Goldman Sachs Group Inc., Research Division: No, I'm asking did you grow aftermarket exclusive of price just on volume?
W. Nicholas Howley: Well, we don't -- I'm not going to get -- just frankly, I'm not going to get back into that. I'm not going to get back into figuring out the price from the real volume.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Okay, yes. No, I mean, I was -- I know you don't want to do that, which is why I was trying to ask just...
W. Nicholas Howley: Which is why you asked it a different way.
Noah Poponak - Goldman Sachs Group Inc., Research Division: And it still didn't work. That's all right.
W. Nicholas Howley: One of these days, it will work.
Noah Poponak - Goldman Sachs Group Inc., Research Division: Maybe I'll try one more then. Just the likelihood that in your view that we see more of these retroactive contract adjustments in the remainder of 2012? I know that can be lumpy.
W. Nicholas Howley: Yes, let me say I don't know. There's none hanging fire that I know of that will drop in the second half. That being said, we get a lot of LTAs around the ranch, and there's frequently some kind of disputes going on. But I don't know of any right now that I expect to drop in the second half. I would say, as I pointed out, we had this Eaton litigation resolution. It's in our favor with a, not a huge, but a decent award in our favor. There's enough kind of a smoke around that, that we don't -- we're not going to book it yet, but that could clear out in the second half of the year. The smoke could clear, and we could have a positive booking.
Operator: The next question comes from the line of Gautam Khanna with Cowen Inc.
Gautam Khanna - Cowen and Company, LLC, Research Division: I wanted to explore the aftermarket comment. You said bookings -- last quarter, I think you said the book to bill was basically EBIT one, but this quarter it's running ahead. So was there something kind of late in the quarter that picked up? And if so, where were you seeing that strength?
W. Nicholas Howley: Yes, I don't -- let me just look at the last quarter. I don't remember what the last quarter numbers were, but I think that sounds about right. I just don't remember.
Gautam Khanna - Cowen and Company, LLC, Research Division: I think you said orders were up or about in line with sales but here, we're seeing that they're running ahead. A few months in, so was that a month...
W. Nicholas Howley: Yes, I mean the bookings -- as I said, the booking in the second quarter were good. So we're up. We ran ahead of the shipments. We ran ahead of the previous quarter, and we're up above our shipping level on a year-to-date basis. I don't know that I can -- or I mean, excuse me, let me restate that. I can't attribute that to any one thing, but it makes us feel better rather than worse. I would say that to draw much conclusion off a quarter of bookings, it's hard to draw a lot off of that. But it's better to be up than down.
Gautam Khanna - Cowen and Company, LLC, Research Division: I mean, was there any commonality to the product?
W. Nicholas Howley: No, I can't say there was. We have a lot of different products, and I can't say -- I can't tell you that I could focus it in on fuel systems or interiors or anything like that.
Gautam Khanna - Cowen and Company, LLC, Research Division: Okay. And then on the contract adjustments, could you give us more color on kind of what this was related to? You mentioned there were 2 of them, 2 different contracts...
W. Nicholas Howley: Could you speak up? I couldn't hear the question.
Gautam Khanna - Cowen and Company, LLC, Research Division: On the contract adjustments, I think you mentioned there were 2 of them that totaled the $6 million or $5.5 million. Were they different from what you saw last quarter? Were these different contracts? Just a little more color on them?
W. Nicholas Howley: Yes, what they are, what both of them are, there's a bunch of details that doesn't make all that much difference. Essentially, they are settlements of scope differences on the 787 contracts.
Gautam Khanna - Cowen and Company, LLC, Research Division: Okay. And will that...
W. Nicholas Howley: Each one has some different wrinkles in the exact details. But at the end of the day, their economic impacts have changes in scope as we run through the development process.
Gautam Khanna - Cowen and Company, LLC, Research Division: Got it. And that's what they were last quarter as well?
W. Nicholas Howley: And this quarter.
Gregory Rufus: They're both independent.
W. Nicholas Howley: Yes, they're independent, by the way. It's not the same contract. They're independent product lines.
Gautam Khanna - Cowen and Company, LLC, Research Division: But on the 787.
Gregory Rufus: Yes.
Operator: Your next question comes from the line of Rama Bondada with Royal Bank of Canada.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: So kind of going back to Dave's question earlier. When we think about McKechnie, where are we at in the integration time line there in terms of operational integration, pricing changes that you guys normally implement with your newly acquired companies?
W. Nicholas Howley: Ray, why don't you just speak to the integration activities?
Raymond F. Laubenthal: Yes, I can speak to that. Yes, and integration activity was -- this is Ray Laubenthal. The big moves there were to combine our Avtech facility and the Tyee facility, and the Electromech business with McKechnie had multiple units that were being shut down and moved to Mexico. And both of those physical moves have occurred. A lot of activity combining plants, moving plants and so forth. But after you put 2 plants together, there's a settling out period and so forth. And we expect -- and those businesses are settling out as we expect. The temps that we hired to help with the moves and so forth are let go. But the new people hired at the new locations got to come up the learning curve. So the physical pieces, I think that's gone a little bit better than we expected, but that's gone well and that's done for the most part. With the other value creation, the pricing and so forth, we follow the same playbook as we do with every acquisition we buy, and that has moved along as we expected in the commercial aftermarket. And as the OEM LTA contracts expire, we'll work on those as those come up, and there's a few of those to expire in the coming years.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: So what's the average length of those LTAs that's not...
Raymond F. Laubenthal: Typically in this industry, at least for our products, the LTAs average between 3 and 5 years.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: Okay. So it'll be a rolling event that will be occurring over the next couple of years or so?
Raymond F. Laubenthal: Correct.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: Okay. And then kind of looking out over the next couple of years, when we think about margins and assuming and obviously, this is a theoretical, so we know that you guys are going to continue doing acquisitions. But if you weren't doing any acquisitions, how quickly do you think you could get back to that 45%, 46% EBIT margins that you guys had before McKechnie?
W. Nicholas Howley: So I don't know what the -- this is Nick. We're conversing with the EBITDA margins, and I think we're about there.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: Okay. So even including AmSafe and Harco and Schneller...
W. Nicholas Howley: No, no, no. Excuse me, excluding those. In the base business with McKechnie, we're about there.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: Okay.
W. Nicholas Howley: On the other ones, I would say I -- we'll give a forecast for next year out when we give it, but I would expect the margins would start to move back up.
R. Rama Bondada - RBC Capital Markets, LLC, Research Division: So normally, just because I guess your integration time line with companies, would it be 1 year or 2 years if -- I mean every company's different.
W. Nicholas Howley: We don't -- yes, they're -- all of them are different. We model them over 3 to 5 years. Frequently, we can exceed that.
Operator: Ladies and gentlemen, your next question comes from the line of Mr. Joe Nadol with JPMorgan.
Seth M. Seifman - JP Morgan Chase & Co, Research Division: Actually, it's Seth Seifman on for Joe this morning. A question about margins. The performance in the quarter in the base business was quite strong despite an adverse mix shift. I wonder either on a sequential basis or year-on-year if you can quantify the adverse, the margin headwind that came from mix at all or even ballpark?
W. Nicholas Howley: We can't quantify that exactly. What we can make -- as I've told you before, it's unusual for a mix shift period-to-period to move it more than a point or 2.
Seth M. Seifman - JP Morgan Chase & Co, Research Division: Right. And as we look out for the rest of the year, you're obviously looking for improvement in the margin and the base business despite the fact that mix could get a little bit tougher with the strong growth in OE. Is there any one particular thing you would point to that's driving that, or it's just a combination of the stuff you usually do?
W. Nicholas Howley: You mean driving the margin increase or driving the mix change?
Seth M. Seifman - JP Morgan Chase & Co, Research Division: Driving the margin improvement...
W. Nicholas Howley: Just the normal stuff. The normal -- we work on the price, we work on the cost every quarter and every year. But there's nothing unusual on that.
Gregory Rufus: Given the operation, it's rare for one event to move margins 1 point. It's just usually going with the tide of everything going on.
Operator: Your next question comes from the line of Myles Walton with Deutsche Bank.
Myles A. Walton - Deutsche Bank AG, Research Division: Just the -- I guess follow-up on the margin mix for a second. The EBITDA margin year-on-year, 48% on an adjusted basis. And if I -- thanks for the walk on the gross margin perspective. If I layer that over on to the EBITDA comparison, EBITDA As Adjusted, I'm getting to like a point of dilution from the acquisitions roughly offset by the favorable contract still ending up at about the same EBITDA As Defined margin year-on-year despite the mix. So is there any other thing to think about in terms of what was driving that to get that performance?
W. Nicholas Howley: Myles, I walked you through the EBITDA As Defined, not the gross profit. Was there some confusion?
Myles A. Walton - Deutsche Bank AG, Research Division: Slide 7 walked through the gross profit year-on-year.
Gregory Rufus: Keep going the prior year, year on year. We're just bridging the current year, within it. We don't...
W. Nicholas Howley: Yes, yes, yes.
Gregory Rufus: [indiscernible] prior year and then just with all the acquisitions.
W. Nicholas Howley: You don't have to answer that, Greg. No, Myles, you're asking reconciling versus the prior year?
Myles A. Walton - Deutsche Bank AG, Research Division: Yes.
Gregory Rufus: And what we tried to do is give you color for this year because with all the acquisitions, I mean, you could imagine all the puts and takes that go on. So we were just trying to give you color on the current year margin at EBITDA and I wanted to give you a little color on gross profit because we dilute a little more in SG&A with the acquisitions.
W. Nicholas Howley: Let me also add there, Myles, the other -- the thing I was trying to do was to show you if we throw McKechnie into the base, the base is now back at or above where it was before we bought it.
Myles A. Walton - Deutsche Bank AG, Research Division: Yes. Yes. No, it's more striking to me in terms of just trying to back into the mix apparently not really working against you this quarter and I'm just kind of curious if there's anything we're missing in terms of try to back out to see just what that mix impact may have been.
Raymond F. Laubenthal: Yes, I think it is working against us this quarter, which is another way of saying the 50% EBITDA -- or for the quarter, excuse, I talked about year-to-date sorry.
Gregory Rufus: But versus second quarter last year, the mix is working against us.
W. Nicholas Howley: Yes.
Gregory Rufus: Our OEM growth was substantial versus our aftermarket.
W. Nicholas Howley: Yes, right.
Myles A. Walton - Deutsche Bank AG, Research Division: So I guess on the Slide 7 where it say core business contributed 2 margin points, it seems like the favorable item was about 1.5 points, and then I guess unfavorable versus aftermarket, it had a negative arrow, but I'm just not sure that it actually played out that negatively.
Gregory Rufus: The $6 million, you could do the math on that. That's only about 0.5 margin point there. Given that the aftermarket OEM mix in the quarter was between what 1% and 2%, it was in that range.
Myles A. Walton - Deutsche Bank AG, Research Division: Okay, okay. The other question was on cash per quarter. I think maybe it's just rounding, but last quarter you were talking about $80 million a quarter. And I thought I heard $90 million to $100 million, so is that taxes?
Gregory Rufus: No, one, we own another business that we didn't have before, and the other is we tend to be a little conservative on it.
Operator: Your next question comes from the line of J. B. Groh with D.A. Davidson.
J. B. Groh - D.A. Davidson & Co., Research Division: Sort of playing off of Myles' question. How should we think about sort of the -- I know you don't want to give specifics, but the margin differential between aftermarket and OE, I mean I know you're not going to give numbers, but I'm sure it varies by company some -- you're essentially selling a 0 margin to OE and getting massive margins on aftermarket, and then there's a continuum. So with the way the mix was, it seems like there's not that huge gap that maybe we thought that it was. Is that fair?
W. Nicholas Howley: There's a pretty big gap.
Gregory Rufus: A big gap.
W. Nicholas Howley: Yes.
J. B. Groh - D.A. Davidson & Co., Research Division: Okay, okay. And then on the -- just a housekeeping item on the contract adjustments, no expenses related to that, right?
Gregory Rufus: That's correct.
J. B. Groh - D.A. Davidson & Co., Research Division: And then is there any -- I guess you wouldn't have contemplated contract adjustments in the guidance.
Gregory Rufus: No. And as Nick said, I mean, these are the 2 we know about and we don't see anything in the horizon to put in the guidance for the second half.
J. B. Groh - D.A. Davidson & Co., Research Division: Okay.
W. Nicholas Howley: And we didn't have it in the original guidance if that was the question.
Operator: Our next question comes from the line of Eric Hugel with Stephens.
Eric Hugel - Stephens Inc., Research Division: When we think about AmSafe, I guess relative to other acquisitions you've done in the past, sort of given the very high sort of aftermarket content, should we think about sort of the margin sort of expansion sort of again sort of accelerating much faster than some -- than prior -- that other acquisitions?
W. Nicholas Howley: I would not. There's some portions of the business that down drag a little, too. That's why I think I said I don't know that this business gets to the average.
Eric Hugel - Stephens Inc., Research Division: I know it might not get to the average, but let's say the recovery, your ability to implement pricing is much quicker because it's such higher aftermarket?
W. Nicholas Howley: Yes. I get your point, but I think we think about these on a 3- to 5-year basis when we sort of give you a sense of what we can do when we buy them, and I think about it the same way and hopefully, you'll be conservative.
Eric Hugel - Stephens Inc., Research Division: Okay, fair enough. And in terms of the intangible amortization, because you have that sort of the put and the take of some of the businesses running off, sort of what should we be thinking of in terms of the run rate on a go-forward basis somewhere in the, say, $11 million to $12 million range so we get a full year, a full quarter of AmSafe in there.
W. Nicholas Howley: When we give our guidance out because -- we'll give you a clearer picture because the amortization I gave you or I gave David, I know it does include like backlog amortization and stuff, which is at a more rapid rate. And I just don't have what after the rapid amortization what the run rate is right now. That will come when we do our guidance for next year.
Operator: Your next question comes from the line of Michael Ciarmoli with KeyBanc.
Michael F. Ciarmoli - KeyBanc Capital Markets Inc., Research Division: Nick, maybe just to go back to Noah's question, if I look at your commentary from these results with revenue sequentially flat in commercial aftermarket. Last 2 quarters, you talked about them being sequentially flat. So that's 3 quarters in a row of aftermarket sequentially flat. I'm assuming you get a little bit of bump there with 787 and 747 provisioning. So again maybe getting back to that core business, I'm also assuming over the past 9 months there's been some pricing. So it would seem like volumes are under a bit of pressure, I guess?
W. Nicholas Howley: Well, let me -- a couple of things. One, we have no provisioning in there. As you know, that's -- we could get some provisioning, and I hope we do. But someday we'll get it, but we have none in the second half. So that -- so I just take issue with that. We're just -- we're not going to back into the pricing this way. So I'm not going to comment on what the real volume is. But I will say I'll just remind you again, the 25% year-over-year growth the year before was, in our judgment, not a sustainable number. So at some point, you're going to give some of that back.
Michael F. Ciarmoli - KeyBanc Capital Markets Inc., Research Division: Yes, yes. No doubt, okay. What about -- I mean, are you seeing anything from any of the string of bankruptcies out there that -- I know you talked about some of the cautious comments and some of the more positive comments. I mean, anything else that would be creating a sequentially flat environment for you guys?
W. Nicholas Howley: Other than just general economic concern, I don't know of anything systematic. The positive is the bookings picked up. Now again, I don't want to over play that, but surely that's a better fact than if they went the other direction.
Operator: Our next question comes from the line of Carter Leake with BB&T Capital Markets.
F. Carter Leake - BB&T Capital Markets, Research Division: You gave us sequential commercial aftermarket. Any chance of getting that for Commercial OEM and defense as well sequential?
W. Nicholas Howley: What did we give -- we gave the -- what did we give, Greg? We gave the quarters? Have we given that?
Gregory Rufus: I don't know. I thought we did.
W. Nicholas Howley: Yes, I thought we did. Obviously we don't have it here.
Gregory Rufus: We don't have them all memorized, sorry. We thought we gave it, but we didn't, I guess.
F. Carter Leake - BB&T Capital Markets, Research Division: Okay, biz jet OEM, any color on that? What's driving it? Where are you seeing it? What platform?
W. Nicholas Howley: In what? Was that biz jet?
Gregory Rufus: Biz jet OEM.
W. Nicholas Howley: Yes, I mean the same story on biz jets that everybody sees. The top of the market is doing better than the bottom of the market. That's the Gulfstream, big Canada air kind of stuff.
F. Carter Leake - BB&T Capital Markets, Research Division: Moving to the Eaton settlement. I think the public number we see there is around $8.5 million. Is that correct, what the award is?
W. Nicholas Howley: Yes, that was offset by a counterclaim, so it's more in the $7 million, $7.5 million range. As I said to start off, there's a couple things there. The big issue there was intellectual property, and we've prevailed completely on that and have all our intellectual property back with an order. The dollar claim, that's going to jostle around. We got some more ongoing prejudgment interest claims. There's an argument about the fees, how much of the back fees do they owe us. And on the other hand, they may appeal some of it. So I don't exactly know where that sorts out.
F. Carter Leake - BB&T Capital Markets, Research Division: And where is Eaton right now as far as a customer? Are they still a current customer?
W. Nicholas Howley: Well, yes. They're a current customer. They're not in our top 10. I mean, they're a good customer, but they're not one of our big customers.
F. Carter Leake - BB&T Capital Markets, Research Division: Because their counterclaim sort of speaks to underperformance, et cetera, but you don't see -- you see them continuing as a customer relationship.
W. Nicholas Howley: Yes, yes.
Operator: At this time, there are no further questions in queue, so I will return the call to management for any closing remarks.
Liza Sabol: Thank you. I'd like to thank you, all, for participating on this morning's call, and I'd like to let you know that we expect to file our second quarter 10-Q sometime tomorrow.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.